Kyoko Altman: Welcome to Rakuten’s 2021 First Quarter Financial Results. We’re off to a strong start for the year. Our e-commerce and FinTech businesses delivered double-digit profit year-on-year growth and solid retention of new users. Our advertising business also continued to outperform seizing the momentum driven by digital transformation. And our mobile business accelerated customer acquisition and now offers the iPhone. We also received additional spectrum from the government having globally improved the quality and capability of a fully virtualized network. Our investments in mobile increased in line with the accelerated network build-out. This led to another consolidated operating loss.  To ensure financial soundness, we raised capital through a third party allotment of shares and issuance of permanent subordinated bonds. We continue to take bold action for future growth. Our strategic partnership with Japan Post is an online to offline transformation that will further power the growth of Rakuten unique ecosystem. For the details and the strategy, you’ll hear from our leaders of each core business and CFO in just a moment.  But first, here’s our CEO, Mickey Mikitani, who will share the Group’s strategy. [Interview in Foreign Language]
Kazunori Takeda: Total domestic e-commerce GMS and total shopping ecommerce GMS increased steadily in the first quarter, continuing the strong momentum from the previous quarter. Here is revenue and operating income. Anchored by Rakuten Ichiba, many businesses performed well and individualistic business as well. Operating income increased significantly as a result of improved profitability.  Looking more closely at operating income, the marketplace type business centered on Rakuten Ichiba and Rakuten Travel improved. While we continue to invest in the Logistics business, we are also reducing expansion of the loss from the previous year. In recent years, digital transformation across many industries has accelerated with the changes driven by the pandemic, society is seeing a type of transformation which only happens once a century.  Rakuten is working with merchants to improve our appeal as a platform, in line with our core principle of empowerment and shopping is entertainment. In addition to accelerating digitalization, the many efforts we have made so far have been successful. We have outperformed the industry growth rate in e-commerce from the start of the pandemic to the present. We continue to increase our presence in the market. The repeat user ratio of Rakuten Ichiba continues to increase and cross-use of our other EC services is also expanding significantly. Looking at this graph, we can see that the amount of spending per household and the growth rate for households using e-commerce accelerated from 2019 to 2020. The proportion of household consumption spent on e-commerce is also increasing. In these conditions, Rakuten Ichiba performed well as in the previous quarter, with strong year-on-year growth in purchases and purchase frequency.  In addition, in response to the acceleration of digitalization and the expansion of users’ EC usage, the number of users of our various EC services is steadily increasing. With continuing digitization, demand of e-commerce service is expected to grow. In order to fully leverage Rakuten’s strength, we will focus on building our own logistic network, which is essential to our continuous growth, while at the same time accelerating digital transformation. We will also establish a new joint venture with Japan Post to jointly operate the logistic business. We aim to create sustainable developments through digitization by converging the strength of Japan Post and Rakuten.
Noriaki Komori: At the end of April, we agreed with Japan Post to jointly establish our new company to be known as JP Rakuten Logistics. Our logistics business will be split off from the Rakuten Group in order to be operated by the new company. We are targeting July 1 for completion of investment by both parties into the new company and transfer of our logistics operations.  We have a total of eight fulfillment centers in seven locations focused on Ichiba merchants and our first party business because the growth in Rakuten is super. We will open three new fulfillment centers in Tama, Yao and Fukuoka by 2023. We will consider these fulfillment centers under the new JP Rakuten Logistics as we create an efficient logistics platform that is seamlessly combined with Japan Post delivery network.  With the establishment of the new company, we look forward to accelerating the digital transformation of logistics by improving customer experience to cater to diverse delivery needs, reducing leading time for deliveries, including same-day delivery, and introducing new technology will improve efficiencies and expand the capacity.  Our new platform for the digital transformation of logistics will contribute to improving the condition of the logistics industry as a whole, and realizing a sustainable society. It will not only support Rakuten Ichiba, but also open up to other delivery companies and the shippers.  The number of merchant and shipping volume for Rakuten Super Logistics continue to increase significantly in the first quarter. GMS growth rate of merchant using Rakuten Super Logistics is significantly more than the average GMS growth rate of GMS of all Rakuten Ichiba stores.  Using Rakuten Super Logistics contribute to increasing revenue and profit for the merchant by optimizing shipping costs, contributing to the further growth of Rakuten Ichiba. Rakuten Group will continue to provide logistic services that contribute to merchants’ growth after the new logistics company is founded.  Next, I will share an update on our Rakuten Seiyu Netsuper online supermarket business. It has been over a year since the pandemic began and while sales at the brick and mortar supermarket have stagnated, our online supermarket business continued to grow steadily. Rakuten Seiyu Netsuper’s GMS in the first quarter grew 29.9% year-on-year.  The fulfillment center in Kohoku Kanagawa Prefecture dedicated to handling online groceries we launched in January of this year is steadily increasing its capacity. We will also open a center in Ibaraki Osaka Prefecture. We plan to finish preparation this year and launch food operations in 2022. This new center will greatly expand our service area in the Kansai region.  In order to provide new delivery solutions, we started providing a supermarket product delivery service for a limited time using our automated UGV delivery robot on public roads. We aim to expand these efforts, and Rakuten will continue working to provide innovative solutions to social challenges and bring greater level of convenience to consumers through next generation technology.
Masayuki Hosaka: The strong growth of Rakuten Card has contributed significantly to the growth of FinTech companies, as well as to the expansion of the Rakuten Group entire ecosystem, including Rakuten Ichiba. First, I would like to explain the performance of the FinTech segment. We achieved double-digit growth year-on-year with steady expansion of our customer base, and the use of each service as our users main service. Rakuten Card’s shopping transaction volume continued to maintain double-digit growth driving business performance. As a result of outperforming the industry, we expanded our market share and other on February. Our share exceeded 20%. In addition, the pace of membership acquisition has accelerated further, achieving an increase of 1 million members in just three months, breaking our previous record and exceeded 22 million members in February.  With the progress of digital transformation along with the pandemic, the spread of cashless payment has accelerated and the number of Rakuten Card members has expanded dramatically.  In our FinTech business, we are building our strong ecosystem with adopting card as a hub. Starting with the expansion of Rakuten Card customer base, the number of Rakuten Bank and Rakuten Securities account has also expanded. As a result, it has led to the expansion of the assets of business that can earn stable profit with a high margin. The growth of Rakuten Card also contributes to the high growth over Rakuten Ichiba. The ratio of Rakuten Card payment to the total GMS of Rakuten Ichiba continues to increase and reached almost 70%. In addition, our unique marketing initiatives which offer increased [indiscernible] point when using Rakuten Card for shopping at Rakuten Ichiba on days ending with their 1 or 5 [ph] led to the growth of GMS on Rakuten Ichiba.  As the trend of promoting cashless payments continue, Rakuten Payment continues its efforts to consistently improve customer convenience and establish a solid position in the cashless market. We are also implementing unique and advanced initiatives, such as combining crypto asset to Rakuten cash to shop. FinTech continued to contribute to the growth of the Rakuten Group by creating synergy through the variety of collaborations, in addition to the growth of each FinTech company.
Hiroyuki Nagai: Here are Rakuten Bank’s financial results for the first quarter. The profits of many banks were sluggish due to the negative interest rate policy over the Bank of Japan and the influence of the pandemic. But, Rakuten Bank significantly increased profit by increasing service revenue through greater numbers of payment transactions, and so we continue to secure higher sales and profits.  The number of transactions increased by 31% year-on-year and the number of payroll accounts and direct debit transactions, which are directly linked to customers’ daily lives, increased by 50% and 32%, respectively, as Rakuten Bank is increasingly becoming the main account used by customers. Increasing the usage as a main account is extremely important for us, and will be the basis for Rakuten Bank’s future profit expansion.  In January, we reached the milestone of 10 million accounts, a new record for Internet banks in Japan. Since January, the number of new accounts has been accelerating due to the strengthening of Group synergies. We expect to exceed 11 million accounts in the coming months.  In addition, by improving customer convenience through collaboration with FinTech companies, we have realized not only mutual business growth, but also mutual profit increase. Indeed, the expansion of the Rakuten Ecosystem has led to the growth of each business and the improvement of profits.  Rakuten Bank aims to continue expanding the number of accounts and main account usage for customers, thereby accelerating business growth and contributing to the expansion of the Rakuten Ecosystem.
Yuji Kusunoki: Here are the results for the current fiscal year. Continuing from the previous quarter, the market has again been booming and the trading volume of domestic stocks and the U.S. stocks increased, resulting in continuous growth in both revenue and profits. The number of new account openings accelerated even further, with 250,000 monthly accounts opened in March and 650,000 opened over the three months period of January through March.  As a result, the number of account has risen to the number two position in the industry with 5.72 million accounts, and the gap between Rakuten Securities and the industry leader is rapidly closing. As a result of industry leading measures, which allow Rakuten Points to be used for investment, Rakuten Securities had succeeded in attracting beginner investors and expanding its asset business with the trend to add free stock commissions, expanding the asset business which generates stable profit is an important strategy.  The number of Tsumitate NISA accounts has also increased and our market share is 29%, the highest among domestic financial institutions. Tsumitate NISA accounts are used by investors who desire long-term asset formation and retail investors are only able to create one Tsumitate account at one financial institution. Due to the synergy effect at Rakuten, the number of people choosing us is rapidly increasing.  The number of investment trust reserve accounts set with Rakuten Card payments exceeded 1 million in April. Users have chosen Rakuten Card because of the high point redemption rate and the convenience of not requiring advance payment. In addition, the amount of investment trust reserves have exceeded ¥45 billion per month, the highest standard in the industry. Rakuten Securities will continue to be customer oriented with a focus on services that take advantage of synergies within the Rakuten Ecosystem. We will continue to strive to be the most selected online broker for a wide range of people from general consumers to day traders.
Yuzo Hashiya: Here's the earning performance of the Insurance business. Sales of life insurance and pet insurance expanded steadily, while sales of non-life insurance decreased slightly year-on-year due to careful selection of contracts to improve profitability. Operating income increased by ¥1 billion year-on-year due to improved insurance underwriting income and cost reduction. We are now in a position to generate stable profit.  After the introduction of Rakuten Points into Rakuten Insurance, online-based insurance sales have increased significantly. In the first quarter, Rakuten general insurance, auto insurance and fire insurance each increased by more than 100% year-on-year, and Rakuten life insurance also increased by 25% year-on-year.  Rakuten general insurance won first place in the Automobile Insurance Satisfaction Survey last year conducted by JD Power. This year, Rakuten life insurance won first place in the ORICON Customer Satisfaction Survey in female segment. We gained approval from customers for its affordable premium and robust coverage.  In addition, through our ongoing efforts, we have consolidated our office from nine to two that are based in large cities such as Tokyo and Osaka to Nagasaki and Matsuyama. We expect this consolidation to not only reduce cost, but also improve productivity and employee skills.  Going forward, we will expand our alliance with Japan Post Group in the Insurance business as well. We will continue to create new value in the future through collaboration between the Japan Post Group and Japan Post Insurance. The Rakuten Insurance Group will continue to empower people and societies so that customers can lead their daily lives with peace of mind.
Koichi Nakamura: Rakuten Payment is working to improve customer convenience with our industry first service point payment Instant Charging, launched in November 2020. Over-the-counter payments can be completed simply by presenting your Rakuten point card. This has both reduces the burden on users and the affiliated stores and have further increased the level of convenience provided by Rakuten Points.  In the past, when trying to make payments using points, it was necessary to make up for any shortfalls in point balance with cash or other payment methods. This service instantly recharges Rakuten cash on the spot and enabled payment even when the users point balance is insufficient. Strategically, it means replacing payment methods provided by businesses other than Rakuten with Rakuten services, thus expanding the Rakuten Ecosystem.  In January, it became possible to make instant payments from Rakuten Bank accounts using the Rakuten Pay app. Instant payments by bank account via QR payment is one of the factors that differentiates us from other companies. This service provision makes full use of Rakuten FinTech assets, which also contribute to the value proposition of Rakuten Bank.  In addition, this February, we introduced a function through Rakuten Wallet that allows customers to charge Rakuten cash with cryptocurrency, such as Bitcoin and Ethereum without any handling fees. This is a cutting edge initiative that converts a customer's crypto assets to Rakuten cash, allowing it to be used for purchases at the stores affiliated with Rakuten Pay and Rakuten point card nationwide, as well as a variety of Rakuten services. We will continue to create services that meet the diverse needs of customers.
Yoshihisa Yamada: Rakuten Mobile celebrated the first anniversary in April. We continue to disrupt the mobile industry and launched Rakuten UN-LIMIT VI service plan in January. With a simple fee structure that flexibly adjusts in line with customer data use, we are supporting the diverse needs of all users and this has been very well received. As you can see, applications have accelerated since the announcement of Rakuten UN-LIMIT VI. Even when other carriers launched new competitive service plans in mid to late March, the piece of applications for Rakuten Mobile was not impacted.  In fact, the ratio of users from other carriers is increasing. As part of our business alliance with Japan Post, we plan to set up application counters for Rakuten Mobile at event spaces within that nationwide network of post offices. This will also drive expansion of our service to customers looking for more offline support. In April, we announced that Rakuten Mobile will begin offering iPhone, and also that we will support all models of iPhone running iOS 14.4 or later.  Rakuten Mobile continues to offer more attractive services for all customers and is working to further expand its customer base. At the same time, we are rapidly expanding our own network area so that users can experience the benefits of unlimited data usage. As for 4G population coverage, we achieved our initial target of reaching 80% by March. We are on track to achieve 96% population coverage this summer. As for 5G, we started limited service in all prefectures in March.  In April, we received additional 5G spectrum from the government. This will enable us to expand our 5G service coverage and accelerate deployment over 5G service to mobile users. In the first quarter, base station related costs increased in nine with our aggressive base station deployment plan. Roaming costs also increased due to the rapid acceleration in customer acquisition.  With the end of the one year free campaign period, we expect more revenues from the second quarter onward, with population coverage of 96% to be achieved this summer, base station related costs and roaming costs will be reined in. Mobile business losses are expected to decline gradually after 2021.  Finally, as you can see in this graph, compared to the users’ data traffic in the month following the application, the users’ traffic in the ninth month has increased by more than 40%. This increase in data usage demonstrates how users are becoming more accustomed to the benefits of unlimited data.  It also shows the competitiveness of Rakuten Mobile and sets the stage for our ability to drive increases in average revenue per user. Rakuten Mobile is translating 4G and 5G networks and expanding attractive services to all customer groups. By continuing to grow our subscriber base, we aim to achieve breakeven in fiscal year 2023.
Tareq Amin: Our vision is turning into a reality. Key innovations we introduced in our network at Japan are disrupting the global telecom industry. Examples of these innovations are; complete adoption of open RAN across 100% of the network, the implementation of highly advanced edge network platform architecture, last but not least, full automation in our network operation resulting in significant reduction of our operational expenditures.  I am very pleased with our network performance so far. However, I am more pleased with the speed of improvements. For example, we have been leading at uplink throughput experience in Japan. And now we are also leading in voice application experience, which is a testament of our network quality and resiliency for our cloud native platform architecture. However, we're not stopping there.  We see further improvements in the future to achieve our aspiration goal to lead the mobile market within Japan. Our unique architecture of distributed mobile edge network will enable enhanced experiences of our customers. Those edge centers are enabling unique mobile services that serve consumers and enterprises for low latency and real-time applications. Automation is usually an afterthought in traditional mobile network. However, it is in our DNA. Just last week, we were recognized as the best automated network leader in the industry after just one year of commercial service. And we are not stopping here. My vision for the network is to achieve a class for autonomous network majority by enabling a true auto scaling, auto healing, self optimizing and self organizing network across all of our network domains.  Our adoption of rich communication services for basic voice and messaging is getting accolades in terms of experience and performance. More than 85% of calls in our network are being made through Rakuten Link app, but we're not stopping there. Rakuten Link Super app is continuing to evolve, enabling richer and more immersive experience for our users. We are introducing numerous Rakuten Ecosystem services in Rakuten Link, but we're also opening the platform to third party companies. We are leading the world not only in technology architecture, but also in business model development.  Our vision is to take our innovative model in Japan to the rest of the world. I am very pleased with the progress we have made introducing RCP into the telco industry. Many telcos around the world are starting to adopt our architecture. From a specific model domain such as OSS and our end to end platform stack, the Rakuten model is becoming de facto industry reference for next generation cloud native telco networks.  Thank you very much.
Naho Kono: Amid changing derived tariffs during the pandemic, Rakuten continued to grow significantly in the first quarter. The Rakuten Ecosystem which enhances synergies between services has been clearly successful. While the number of the monthly active users of the Rakuten Group is growing strongly, the percentage of the users who use two or more services also continue to increase steadily.  With the strong Rakuten Mobile, the Rakuten Ecosystem will become even stronger. One year has passed since the subs [ph] launch in Rakuten Mobile's customer basis in expanding. The contribution of Rakuten Mobile to the ecosystem has gradually become apparent. This data shows the Rakuten Mobile is one gateway to their ecosystem for those who have never used Rakuten before. Currently, nearly 20% of total Rakuten Mobile subscriber our new uses of the ecosystem. You can see how over time, the mobile business is capturing an increasing number of the people from our site of ecosystem. Furthermore, within six months to a year after joining Rakuten Mobile, one in three people start using the Rakuten Ichiba, one is six start using Rakuten Pay, one in seven start using Rakuten Card and one in ten start using Rakuten Bank for the first time. In this way, it can be seen that the Rakuten Mobile subscriber has already begun cross-use with many services in a short period of time.  Also looking at the usage status focused on FinTech services, as of March, 65% of the total used Rakuten Card. More than 30% are using Rakuten Bank. And Rakuten Pay and Rakuten Securities is also used by as many as 70% of users. Hence, you can see the affinity between Rakuten Mobile and our FinTech businesses.  Rakuten Mobile provides ideal price for everyone and it’s expected not only to function as an entrance to the ecosystem, but also to encourage the cross use. We expect that this will further accelerate the growth of each service and further expand the Rakuten Ecosystem.
Makoto Arima: At Rakuten, we have a huge amount of our user data generated to buy over 100 million IDs. This data enables us to provide unique and rapidly growing ad business. Ad revenue in the first quarter grew steadily, mainly by the strong performance of Rakuten Ichiba driven by digitalization. We strongly outperformed the growth rate of the whole Internet auto industry. This is a breakdown of our ad revenue growth rate in the first quarter. The growth rate of Rakuten’s own internal inventory on the left side of the chart accelerated due to our EC growth. Also in the area of external advertisers and ad inventory at the top right of the chart, LinkShare Japan, which provides affiliate oriented marketing services, performed very well. As a result, ad sales growth for external advertisers are particularly noteworthy. Specifically, our major clients, including major consumer goods manufacturers accelerated their advertising on Rakuten Ichiba, which resulted in the expansion of our ad sales.  In addition, we are currently providing online sales channels and marketing solutions for public sectors, such as local governments to support revitalization of local regions. It also contributes to the expansion of our external advertisers’ revenue. In 2020, the Internet ad market remained strong while the entire ad industry was stagnant due to COVID. In particular, ad spending on e-commerce platforms grew significantly by 24.2% year-on-year. Rakuten own the significant market share in this area, and we will keep on leading it going forward.
Kenji Hirose: Here are the results for the first quarter. Revenue increased by double digit year-on-year due to strong growth at Rakuten Ichiba and our FinTech businesses. In the Mobile business, depreciation expense increased due to acceleration of base station construction. Non-GAAP operating income decreased, but if we exclude mobile, logistics and investments, it showed a strong year-on-year increase.  Here is a waterfall chart of non-GAAP operating income trends. Domestic e-commerce and FinTech increased profits and drove our business performance. Rakuten Ichiba continues to enjoy a strong loyal user base and as a result of favorable growth in purchases and purchase frequency, domestic EC operating income increased 19% year-on-year. In FinTech, profits increased by double digit as each business expanded their customer base and strengthened their operation at the customers’ main service. While overall profit declined due to upfront investment in the mobile businesses, base station construction is progressing well and our coverage area is steadily expanding to other population coverage rate of 96% this summer.  Here are the details from non-GAAP operating income to net income. This variation gain was recorded in financial income, and negative goodwill of approximately ¥20 billion was recorded in equity investment gains and losses [indiscernible] will become an equity method affiliate on March 1. As a result, net loss improved by more than ¥10 billion year-on-year. In March 2021, we issued new shares and disposed of a treasury stock through a third party allotment. We raised ¥242.3 billion that is planned for use as a capital investment in the mobile businesses, in particular, the construction of base station for the future. Through our strategic alliance with Japan Post Group, we continue to promote the corporate value of both groups.  We announced on April 28 that we jointly established a new company in which both Japan Post and Rakuten will invest. We will continue to promote efficient logistics businesses operations and further strengthen collaboration in fields such as mobile, data transformation, FinTech and e-commerce.  In April, we issued a foreign currency-denominated subordinated bond, raising approximately ¥320 billion. The subordinated debt has a certain level of capital in terms of credit ratings and is 100% capital in IFRS accounting. We will continue to pursue a financial strategy with due attention to ensuring financial soundness.  In addition, the Group will promote further expansion of Rakuten Ecosystem outside the Group through collaboration with partner companies. We have decided to transfer and consolidate our restaurant-related businesses through Gurunavi by promoting close use of services, including eat-in reservations, delivery and takeout. We look forward to further improving the body of this business.  We will continue to collaborate with Gurunavi by use of Rakuten IDs and Rakuten Points, aiming to further expand the Rakuten Ecosystem. Membership value, which Rakuten Group has set as an important index, is steadily expanding towards our target of ¥10 trillion, due to the contribution of an increase in active users on Rakuten Ichiba and Rakuten Securities, and an increase in the lifetime value of our users. Due to the initial one year free campaign in the mobile businesses, the number of paying user is currently limited. While we are not yet adding mobile to the calculation of membership value, we believe that it will be central to ongoing use of our services and its contribution to the ecosystem is very high. In the future, we will continue to enhance disclosure about the contribution of mobile to the Rakuten Ecosystem. The Rakuten Group aims to continue to expand its ecosystem and increase corporate value.
Kyoko Altman: Thank you for watching our 2021 first quarter financial results. As we drive digital transformation through strategic partnerships in our core businesses, one thing will not change, that is our founding mission to empower society through innovation. We'll continue to walk together with all stakeholders to ensure sustainable growth of our Rakuten Ecosystem. Please feel free to reach out with any questions. Thank you again for joining. Just welcoming everybody back. We're going to start the question-and-answer session. In just three months, Rakuten took many bold initiatives to expand its unique ecosystem, aspiring to create an ecosystem premium. Now, we're expecting a lot of questions from all of you, and have all of our top executives here today ready to answer them? So let's get started.
Operator: So next, we will answer two questions from investors’ data analysis. And you can use the Q&A form at the bottom of your screen to ask your question. And then please ask the questions only related with the other financial results, and only one person to ask two questions. So we already received from SBI Securities. Please unmute yourself and ask your question. 
Shinji Moriyuki: SBI Securities’ Moriyuki speaking. So the Rakuten Mobile is my question. So in your presentation, the data usage per person is about 40%. That was what you mentioned in your presentation. So, overall, the data usage is increasing or is it bipolar like that they won’t use other large volume and won't use less volume. So I think the entire level contributes to the other profit. So what about the level of this cornerstone?
Hiroshi Mikitani: I would like to answer to your question. So the data usage when you made a subscription and since then every month, it's increasing that's being seen in our data. Is it bipolarized that was your second question, but all users as time goes by the data use is going up. And the 5G is expected in the future. Therefore, the data usage per subscriber would be expected to increase. That’s all. Thank you very much.
Shinji Moriyuki: Thank you very much. I have another question. Again, mobile, and you will start charging. So when you start charging, and then the users their use style may change, as of today. So the user for the free use means a user used less than 1 gig, how many percentage of the users are under that category, less than 1 gig?
Hiroshi Mikitani: We started this new pricing plan in a few periods, so we don't have any solid data. We cannot disclose any information today at this point in time. Sorry. Having said that, very small. We expected more people go under that 1 gig data usage. However, it's much lower than our expectation. This is a good time. It's a good result means most of the users are spending more than 1 gig. So that's what we see. While there are some idle user or inactive users, those inactive users will quit our services at some point in time because it will incur some management cost. Therefore, I personally -- really because not so many people are using less than 1 gig. 
Shinji Moriyuki: The last question here, so the price -- I think the ARPU may go down. So what will be the acquisition cost per user? I think you have some device, the fee here and I think the acquisition cost is becoming lower. What is your impression about that? 
Naho Kono: Naho Kono would answer and explain about this. So the acquisition cost, and customer acquisition cost is your question. As for this CAC, as you just mentioned, from last year, every month, it's becoming decreased month-by-month because the network coverage has been spread. And also -- so the recognition of the Rakuten Mobile is improving. That's why we see a good growth.
Shinji Moriyuki: Thank you very much.
Operator: Okay. Next from Citigroup Securities, Tsuruo please.
Mitsunobu Tsuruo: Thank you. Can you hear me? Thank you for this opportunity. I have two questions. First question is the following. On an annual basis, mobile subscriber acquisition may be in a range is okay, but if you can tell me how much it is? How much you're getting new subscribers? That one year free plan is over and last minute subscription happened, it's been over as well. So how many subscribers do you expect to be able to win in one quarter, for example, in a range would be acceptable if you can share with me any information? Second question also about Mobile. RCP platform as of now, how much or how should we look at the contribution it will be making to the profit? Is it something that is major or just limited to the technology can you share with me?
Hiroshi Mikitani: Okay. So first question is on new subscribers, and that will be acquired for a year? Well, I'm not disclosing that. But after this one year free campaign, we have the three months free campaign that is still going on. But we are having steady increase in the subscribers and baseline is higher, much higher than in the past. 96% coverage is expected. That's population coverage in this upcoming summer. So I think that things are going quite steadily there. Yes. And also, carrier aggregation, iPhone, we are already starting that. And word of mouth is important when I talk with people around me. Some people have not decided, although they hear good things about Rakuten. So I think word of mouth is paying right now, because a lot of people around them will tell them that Rakuten seems to be good and Rakuten Card is now a number one credit card. So in a similar fashion, maybe with a speed of 3x as fast. Of course, we would like to have a three-fold speed compared to the growth of Rakuten Card in seeing the mobile adoption. So did it take 11 years? Then one third of that time is what I would like to see happen. RCP kind of sales forecast or so forth?
Tareq Amin: Yes. We believe RCP is going to have a significant impact, not little impact, but a significant impact in terms of revenue projection. So the total addressable market is a very large market, as you know, especially for 5G. And through looking at any analysts report, we estimate that there is about $1 trillion that will be spent on 5G. And a good portion of that is the market that we're going to go after for RCP. So hopefully in the near future, we'll be able to share a little bit more specifics on what is the revenue forecast for the entire platform. Today, Rakuten owns OSS/BSS orchestration and the cloud and infra that we are marketing and selling to global operators. So stay tuned. I think this is going to be a very, very large business for us.
Hiroshi Mikitani: Can you give them the list of [indiscernible], which are already using Innoeye software? 
Tareq Amin: I think, Mickey, we need to get permission somehow from our client. But we have a good number of very large Tier 1. Maybe as early as next week, we'll be able to share this publicly. So at this stage, maybe I just need to finish the permission approval to share the names publicly.
Hiroshi Mikitani: Yes. The company that we acquired is called Innoeye. And Altiostar is another one. It’s a set [ph] to complete 100% acquisition, but it's a partial acquisition by these two companies to a great extent are actually selling software to large global telcos and companies. And so with these as a starting point, software that we develop in RCP platform overall will be sold to different entities. That's what we're starting to do. And I think good news will be able to be shared with you in the future. And in that sense, in the telecom industry of Japan, something really epic making is to happen. That is what we're expecting. And in conjunction with that, revenue will be positively and greatly impacted. So that's the view we have in running this project. Thank you very much.
Operator: And the next from Nomura Securities, Nagao. So please confirm your microphone is unmuted and ask your question. Nagao, I think you are still unmuted.
Yoshitaka Nagao: Can you hear me now?
Hiroshi Mikitani: Yes, we can hear you.
Yoshitaka Nagao: Thank you very much. Nagao from Nomura Securities. I have two questions maybe for e-commerce. The first question, in your presentation material Page 9, shows the user retention rate. So in the April or the June period, you have disclosed that. And then the 75%, it's quite high retention rate. And then from next April, June month, you will compare the performance under the COVID-19. Can you expect any change of this user retention percentage or is there any trend of acceleration? So what about e-commerce activity today? I would like to know that. And this is my first question. And the second question is Page 18 of your material about the fulfillment site enrichment enhancement, and previously at Rakuten conference and as for the logistics, you will make investment about ¥200 billion level. And then you will be adding three sites, including that. What about the investment? How do you view your investment in these logistics site? Those are the two questions from me.
Kazunori Takeda: Takeda is speaking. To your first question, we see quite a good situation. This is not just because of COVID-19, but with that COVID-19 we had some new customers. And then they wanted to buy the mask or other sanitary products. So this is an urgent need. That's why they became our customers. And actually once they purchased the product and received the items, and then after that they have less opportunities to buy the items in a physical shop and then they used our EC side for the purchase. And then they have been expanding the purchase -- the route to other sites. So within the Rakuten Ichiba -- the cross-use within Rakuten Ichiba is increasing. And also with that, usually a person purchase item on a monthly basis, but now they purchase twice in a month or increasing the frequency of the purchase in a month. And then we are not just reacting to the market situation. We are introducing the new products or items in a campaign and also leveraging the super campaign so that we can raise the satisfaction level of the customer using our EC site. And I think that is working quite well. And your second question, Komori will answer.
Noriaki Komori: Thank you very much for your question. Your second question about the investment in logistics, in January I talked about the one delivery as a concept. And then we were to enhance the fulfillment platform. Since then, as written in Page 18, so far we have eight sites under operation. And then 2022 or 2020, the three sites to be added. And then we will complete this investment for the month by that timing, and now we have the joint venture with Japan Post and we will transfer this to that joint venture. And then the -- so we see the huge order increase than our expectation. So in order to support that, these 11 sites would not be sufficient enough to support those demand. And now we will have new joint venture with Japan Post. So we need to think about additional investment for that joint venture. On top of that, on the 11 sites for the Netsupers as disclosed, we have Kohoku in Kanagawa and Osaka. So we have two sites for the next supermarket. And then automation is an investment area for that. And then for the logistics like this, we will continue our investment.
Yoshitaka Nagao: Okay. Thank you very much.
Operator: Next, from a Q&A forum, there’s a question submitted. I’d like to read that from Mr. Oliver Matthew [ph]. What impact will this have on your mobile business? Was it in your plan? Does it change the ability to get to breakeven in 2033?
Hiroshi Mikitani: Apple has a very high requirement for the quality of network and services. And we are happy that we got to reach to the agreement with Apple, so that -- because 50% of the Japanese mobile users are using iPhones. And then not only we can sell iPhones, but because of the carrier aggregation, it is going to be much easier for iPhone users, existing iPhone users to switch from the other telecom services to Rakuten Mobile. So this is a huge impact. So we are very, very delighted and always, always at – iPhone, the license and ability to sell iPhone directly to the consumer is going to make a huge difference. So not only iPhone, but including the Apple Watch and other accessories, and I think we're going to just keep strengthening that as well. So that's a huge plus for us. And particularly, I think iPhone users tend to use more data than others I think. So that's another contribution as well. And they will probably use more Rakuten Ecosystem services, including shopping and so forth. So I think this is a big milestone we have achieved.
Operator: Thank you, Mickey. Thank you very much. So due to the time constraint, if you have any more questions, please ask to IR and PR division. And we will have to get the closing comments from Mikitani. 
Hiroshi Mikitani: Well, thank you very much for joining this other conference today. So the COVID-19, we want to conquer this COVID-19 and that's my heartfelt for hope. So under such an environment that we are demonstrating the strengths of the Rakuten Group, so the balance of business portfolio is contributing pretty well. And then the close to 20% growth in some something we are demonstrating today. It's not written here, but the business in the United States or Viber or Kobo, they grew pretty well and contribute to revenue and profit. So the profit making business is stable. And we think that business is performing super well.  And the big investment for logistics, now we have a partnership with Japan Post and established joint venture with them. So the overall costs would be decreasing and increased the service level that is possible and in [indiscernible] area, we can stimulate the economy. So those who are not Internet friendly would become our target customer. So in the area of consumer finance, so probably in the online or Internet, we are number one. Even excluding Internet, I think we have quite a strong presence.  As for mobile business, as mentioned earlier, we use totally new technology. And including FCC of the United States, we receive high evaluation. And starting from the first one of the company and expand ourselves to the others. So when we do this, then the deal size would have become over ¥100 million. So we can expect higher revenue comparing to the conventional mobile business.  So our initial target of the mobile service here in Japan that can be other contributed to the overall business here in Japan of erupting. But using the fully virtualized environment is proven to be worked, and then has much higher service quality comparing to the conventional technology and we see some recognition. So all run [ph] of the virtualization are well known today. So Rakuten is a global leader. And we are about to receive that recognition. So I want you to have an expectation on our mobile business.  So one of the questions -- I think someone mentioned about sports. And I think I didn't answer to that question. Unfortunately about our sports business, well, this year still loss making. So the state of emergency declaration is one of the things to finish and also the vaccination, the progress which is very, very slow. And then we will contribute to the government. And then this is a very rigid process to become flexible, so that we can promote vaccination. So we want to -- the work or do some lobbying activity to support that. Well, thank you very much for joining the videoconference. And we made it easier for your understanding, and we will make our heart efforts. So please stay tuned with us. Thank you very much for today. 
Operator: Thank you very much. And that's all for today. And we want to finish the Rakuten Group's financial announcement. Thank you very much for your attendance.